Operator:
Craig Muirhead: Okay. Thank you and welcome everyone to Noble Corporation's First Quarter 2021 Earnings Conference Call. We appreciate your continued interest in the company. You can find a copy of Noble's earnings report issued yesterday evening along with the supporting statements and schedules on our website at noblecorp.com. Joining me today are Robert Eifler, President and Chief Executive Officer; and Richard Barker, Senior Vice President and Chief Financial Officer. For today's call, we will not be hosting a question-and-answer session at the end of the prepared remarks. During the course of this call, we may make certain forward-looking statements regarding our various matters related to our business and companies that are not historical facts. Such statements are based on current expectations and assumptions of management and are therefore, subject to certain risks and uncertainties. Many factors could cause actual results to differ materially from these forward-looking statements and Noble does not assume any obligation to update these statements. Please refer to our SEC filings for more information regarding our forward-looking statements, including the risks and uncertainties that could impact our future results. Also note, we are referencing non-GAAP financial measures in the call today. You will find the required supplemental disclosure for these measures, including the most directly comparable GAAP measure and an associated reconciliation on our website. And with that, I'll now turn the call over to Robert Eifler, President and Chief Executive Officer of Noble.
Robert Eifler: Thanks, Craig, and thanks to everyone who joined our call today. On April 1, Noble celebrated its 100th anniversary as a drilling contractor. In the century since our founding Noble has evolved from a land driller in North America to one of the premier offshore drilling contractors with operations across the globe. We have seen many highs and lows in our cyclical industry but the past several years have been some of the most challenging and disruptive our company and our industry have faced. The men and women of Noble have risen up to meet each challenge. Our 100th anniversary, is an important milestone for our company and I cannot be more proud to be a part of the Noble team. Thank you to all Noble employees past and present for your support of our company and achieving this milestone. We are pleased with our first quarter results and the accomplishment of a number of important strategic objectives in the first part of 2021. In early February, we completed our financial restructuring transactions and emerged with a much stronger financial foundation. In March, we announced the acquisition of Pacific Drilling and expeditiously closed the transaction on April 15. Pacific Drilling represents a highly strategic acquisition, which enhances our position in ultra-deepwater market segment. I'll begin my operational and market commentary with a focus on this segment. The Noble drillship fleet has been fully contracted for some time and our newly acquired drillships allow us to bid for the first time in a while on various opportunities we see upcoming. One of our marketing priorities is to find work for the drillships, that we have rolling off contract this year. We expect the Santa Ana to complete its contract with Petronas and Mauritania in August and are primarily bidding the Santa Ana into improving opportunity set in West Africa, as well as the Mediterranean regions. The Camsing contract with Petronas in Mexico runs into October and also has options for up to four additional wells. The rig has additional opportunities in U.S. Gulf of Mexico as well as Guyana-Suriname where we have an extensive presence already. In April, the Noble Sam Croft began work under the CEA with Exxon in Guyana and we now have four of our 7th generation drillships on contract in Guyana. Lastly in April, the Sharav began its 14-month contract with Murphy in the U.S. Gulf of Mexico. The U.S. Gulf of Mexico deepwater market is strengthening and there have been numerous increase in the past month for 2020 work. The programs that have been deferred are beginning to move ahead and we expect this trend to continue. However, contract duration remains short as the vast majority of opportunities are for one to two well programs. The South America deepwater market has been mostly flat over the quarter. However, there are signs of increasing demand. Brazil is continuing to see more non-Petrobras activity and we expect a few incremental rigs going to IOCs. However, Petrobras continues to be the leading source of incremental long-term demand. We expect local contractors to be the first choice for the Petrobras work, which could keep rates depressed in the region for the near term, but will provide helpful demand nonetheless. West African deepwater activity is set to rise as work deferred during the downturn, get sanctioned on the back of confidence in oil price. We expect several incremental jobs for multi-year work in Nigeria, Mauritania and Angola. Looking at global supply for deepwater rigs there have been 63 floating rigs retired since the beginning of 2018, including seven retirements announced year-to-date. Excluding cold stacked rigs and new builds, there are 184 floating rigs being marketed today of which 130 or 71% are committed to contracts. In addition, there are 16 Tier 1 drillships that are either cold stacked or stranded in shipyards. Reactivation costs for cold-stack rigs can vary widely depending on how long the rig has been stacked and what work is needed to bring it back into service, but can easily be well over $50 million for a stacked drillship. Rigs coming out of the shipyard could cost even more as they will need to purchase drill pipe and spare equipment as well as undergo commissioning. In general, we think capital constraints in our industry will drive discipline in bringing these rigs back to market. Now turning to global floating rig demand Rystad recently published their view that floating rig demand actually troughed in 2020. Our conversations with customers corroborate this and we anticipate a moderate upward trend continuing. Further, based on currently visible tenders and client discussions we expect a more pronounced market improvement for the best floating rigs particularly drillships with two BOPs and dual activity. This view is supported by the dozen or so incremental drillship opportunities coming to market in the back half of this year with customer preferences for the best rigs. In fact, demand for Tier 1 rigs has closed to the level of demand we saw in late 2019 and early 2020 which is obviously encouraging. Additionally, there is an important and positive difference in today's drillship market recovery compared to the past. In 2017, we had to recover from spot dayrates around $150,000 per day. During COVID, rates held relatively flat in the high 100s in today spot prices are already about $200,000 per day. We are cautiously optimistic that we will continue to see upward movement in dayrates as we move into next year. Turning now to the jackup market, there are a handful of open tenders in the North Sea for work, starting this year. We are not expecting additional new tenders for 2021 starts. Today, two of our four jackups in the U.K. sector are working with two rigs warm stacked. We are chasing new work for our idle rigs. But it is a highly competitive region and we anticipate at least one of the rigs remaining idle into 2022. Norwegian tax incentive measures to encourage investment in the oil and gas sector will see in November 2021. So we expect to see additional commitments prior to this date. Noble Lloyd Noble is currently in the shipyard preparing for its maiden contract in Norway with Equinor which is scheduled to commence in July. This is one of the highest-spec rigs in the world and as well suited for work in Norway and we expect to have good opportunities for future work in the country. There has been significant contracting activity in the Middle East, but mostly for incumbent rigs with rollover pricing. Generally, demand may return to pre-COVID levels by the end of 2021, but we do not expect much upward movement for rates or contract duration this year. The Noble Roger Lewis had a short standby period on zero dayrate for mid February to mid March for rig maintenance and well planning. It is now back on dayrate working on a gas well for Aramco. We are preparing the Noble Scott Marks to return to drilling operations with Aramco later this month after its one-year standby period. And we are optimistic the Noble Mick O'Brien, we'll be able to secure follow-on work in Qatar after its current firm term. In Trinidad and Tobago, the Noble Regina Allen completes its firm term in June. It is one of the more capable jackups in the Americas and has follow-on opportunities in and around the region, but we'll likely see some downtime between jobs. The Noble Tom Prosser in Australia recently began its current contract with Santos that will take it into early next year. The rig has performed very well and is well positioned to capture the additional available work in the region in 2022. Speaking to the overall supply and demand balance for jackups, there have been 76 rigs retired since the beginning of 2018 including 10 retirements announced year-to-date. There are 433 jackups being marketed today excluding stranded newbuilds and cold stacked rigs with 316 or 73% contracted. Of the working jackup 76 rigs or 25 years old or older, these rigs will eventually be replaced by newer rigs. But in the near term, some older jack-ups continue to find new work. We currently see a stabilizing market on the jackup side with rates and utilization roughly flat in the regions where we operate. So in summary, we see positive market indicators for floaters and a stable outlook for jackups. An important difference in our story today is that a couple years ago we needed dayrates well into the $300,000 for drillships. That's not the case anymore, we have brought our fully burdened breakeven dayrate down significantly, not only because of our restructuring, but also through reductions in our operating expenses. Today, our fully burdened breakeven dayrates are well below $200,000 per day for drillships, and less than $100,000 per day for jackups. This is key to our value proposition. I'll now turn the call over to Richard to give an update on our financial results.
Richard Barker: Thank you, Robert. I will give a brief review of our combined first quarter results and our current capital structure. Before discussing some details related to the Pacific Drilling acquisition. But before I begin to review the quarter, I want to provide a baseline with respect to the significant accounting changes in our financial statements resulting from the company's recent restructuring. Upon emergence from bankruptcy on February the 5th, we adopted fresh start accounting with our operating results split between the predecessor period from January 1 through February 5 and successor period from February 6 through March 31. Fresh start accounting requires a fair values we established for the company's assets, liabilities and equity as of the date of emergence and therefore certain values and operational results will not be comparable for the predecessor and successor periods. Further detail around our application of fresh start accounting will be included in our Form 10-Q, which will be filed later this week, we encourage you to refer to the GAAP measures for predecessor and successor periods. As stated in our financial statements. However, for this discussion I will combined predecessor and successor periods and refer to the combined first quarter as we believe this is a more meaningful way to analyze our results. Turning to our quarterly results, contract drilling services revenues combined first quarter totaled $159 million versus $195 million for the fourth quarter. The decrease is related to a number of rigs that had lower operating days in the combined first quarter including the Lloyd Noble, Sam Croft, Tom Prosser and Roger Lewis. Contract drilling services revenues for the combined first quarter also reflects a reduction of approximately $8 million as a result of non-core cash amortization of contract intangible assets specific to the two Globetrotter rigs. These intangible stemmed from the revaluation of our balance sheet when adopting fresh start accounting. Going forward, we expect to recognize monthly amortization of approximately $2.4 million for Globetrotter rig through the remainder of the related rigs contract periods, which run to July 2022 and September 2023. The contracting dayrates we earn remain the same. However, post emergence we now reduced revenue recorded by the amortization of the intangible assets. Again, the amortizations are non-cash. Adjusted EBITDA for the combined first quarter was $28 million, down from $57 million in the fourth quarter. Capital expenditures for the combined first quarter were $33 million. We anticipate full year capital expenditures to range between $180 million and $200 million, which includes amounts anticipated to be spent on the Noble Lloyd Noble as it is prepared for work in Norway approximately $25 million for the available CapEx that will be reimbursed by our customers as well as CapEx for our newly acquired rig from Pacific Drilling. Our capital structure consists of $675 million first lien revolving credit facility maturing in 2025 of which $178 million was borrowed at quarter end and $216 million outstanding second lien notes due in 2028. Our second lien notes have a PIK toggle feature. Our liquidity at March 31 was approximately $600 million. Upon closing of the Pacific Drilling acquisition on April 15, we received over $30 million of cash net of transaction and integrated related costs. We are keeping the acquired assets from Pacific Drilling and a separate credit silo to the Noble assets and these specific drilling assets will remain fully unencumbered. At emergence, we issued 50 million shares to our former bondholders. After issuance a portion of the initial shares were converted to penny warrants. So that at quarter end, there were 44 million ordinary shares outstanding and 6 million penny warrants. Each penny warrant is economically equivalent to an ordinary share. So, we show the full 50 million shares as outstanding for purposes of our per share calculations for the successor period. Subsequently at closing of the acquisition on April 15, we issued 16.6 million shares to former Pacific Drilling equity holders. We also have three tranches of warrants, which were issued to our legacy note holders and legacy equity holders as part of the Chapter 11 process. Detail on these warrants can be found in our emergence 8-K filed on February the 8th, and our recently filed 10-K. We are working expeditiously to integrate Pacific Drilling. We expect at least $30 million in annual synergies and are currently on track to be at full run rate before the end of the year. In addition, we are moving to dispose of the [boiler and mistrial] as quickly as possible and expect to eliminate approximately $10 million of annual stacking costs on those two rigs weeks once disposed. The Malcolm and [indiscernible] will remain cold stacked in the near term. In order for these rigs to be operational, we estimate that the capital investment required for the Malcolm and [indiscernible] would be approximately $50 million and $35 million respectively. We are committed to capital discipline and will not begin a reactivation without an appropriate contract that would justify the capital investment. Lastly, while we are encouraged by the recent improvement in the market, we recognize the importance of continuing to focus on maintaining a highly efficient cost structure. We continue to evaluate alternatives for generating further cost efficiencies and in so doing, driving down our fully burdened breakeven dayrate without sacrificing the safety and operational performance that our customers demand. I will now turn it back to Robert.
Robert Eifler: Thanks, Richard. We are excited about our future. Our industry does face a number of challenges and we'll see a lot of change over the next few years. However, oil and gas will remain a major component of the world's energy mix. Since our beginning to 100 years ago Noble has been an important part of the energy value chain providing access to resources to power the world. Noble supports a sustainable energy future through our operational efforts to protect the environment and safely deliver reliable and efficient drilling services. We are a global company with employees who are for many different countries, through practice many different religions and have many different ideas. We believe this diversity from our boardroom to our rig floors is a strength. Noble kicked off a much-anticipated consolidation phase in our industry through the purchase of Pacific Drilling. Additional consolidation is essential for our industry and will not only provide meaningful cost synergies to the participants, but also allow the best companies to offer a broader range of drilling units and services to more customers. To the extent that a deal is in the best interest of Noble shareholders, we are well positioned to be a leader in further consolidation. We've accomplished a lot in the past several months. Our balance sheet has strengthened, our fleet is enhanced with new high-spec assets and our cost structure has improved. All of this was accomplished while maintaining our focus on delivering safe and efficient operations to our customers, but we have more work to do. We will continue to push in each of these areas to be better than we are today. And I am confident that our efforts will lead to many years of sustained success for Noble. Thank you for your participation in our call today. And I'll now turn it back to the operator to close the call.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.
Q -: